Operator: Ladies and gentlemen, welcome to the Husqvarna Quarterly Results Q3 Conference Call. I'm Andre, the chorus call operator. I would like to remind you that all participants will be in a listen-only mode and the conference is being recorded. The presentation will be followed by a Q&A session. [Operator Instructions] At this time, it's my pleasure to hand over to Johan Andersson. You will be now joining to the conference room.
Johan Andersson: Hello, everyone, and welcome to the presentation of Husqvarna Group's report for the third quarter of 2023. My name is Johan Andersson, responsible for Investor Relations and will be the moderator here today. With me here in Stockholm, I have our CEO, Pavel Hajman, and our CFO, Terry Burke. Pavel and Terry will present the report and then afterwards, we will open up for a Q&A session. And I would like to remind you that you can both ask your questions over the telephone conference and also enter your questions in the web interface. So again, warm welcome. And with that, I’ll hand over to Pavel.
Pavel Hajman: Thank you, Johan. And good morning, and a warm welcome also from my side. And before we go into the -- before we go into the details of the third quarter, I'd like to share overall comments on the performance. And we have discussed around challenging macroeconomic situation during some time mainly in relation to the Gardena performance. And this quarter, we also knew that we had tough comparisons, both from the high robotics volumes last year, but we also had announced exits of petrol products impacting us now in the second half. But clearly, we have now seen additional effects with more challenging market conditions and reduced consumer demand. And this has further impacted our volumes in the third quarter for the two Forest & Garden segments and predominantly for the Husqvarna Forest & Garden division. Now, we are executing on our cost savings, driving efficiency in our organizations in such time. And despite the lower volumes now in quarter three, we do manage to improve the operating result in our Construction division and also the result was flat in the Gardena division. And our focus on cash flow continued to generate results, and in quarter three, we improved our cash flow by SEK1.5 billion compared to last year. Now, we expect the challenging macroeconomic environment will continue and accordingly, we have reduced our manufacturing to a lower level than normal for the remainder of the year. And also, as we are announcing today, we are expanding our cost savings further and Terry will come back with more details on that. We need to remind ourselves, that the third quarter is a small quarter for us as the garden season comes to its end. And if we zoom out and we analyze the year-to-date numbers, the nine-month period, we have improved both the operating income, reaching an EBIT over SEK5 billion as well as the operating margin for the Group that has improved to 11.5%. And we have delivered a cash flow of over SEK6 billion, which is the second best for a number of years now. Also, our focus on strategic value creation areas are showing results. We are proud that we continue to expand in the robotics in the battery-powered products and also in smart watering and professional products and I will say a few words later also on this. It is also encouraging that we have reduced further our climate footprint significantly when it comes to the CO2 reduction. And I will also talk about the milestones around our climate targets also in this presentation. So with that, let's also take a closer look then on the quarter for the Group. The overall net sales was SEK10.5 billion and our organic sales decreased by 15%. On the positive side, we had sales of battery-powered products that was continuously strong in this quarter and throughout the year, and we're also taking market share in this area. Another key segment to highlight is our smart watering MicroDrip product significantly that really showed a good growth in the quarter. And this for us is a clear indication of the increasing interest in sustainable water. Sales for petrol-powered wheeled products decreased sharply. This is the major driver for the sales decrease in the quarter. And this was due to significantly lower demand and the fact also that we as previously communicated are proactively exiting parts of this segment. Our Construction division shows overall resilience, as I mentioned when talking about the previous page. We achieved a sales growth in North America and emerging markets, but we see a decline in Europe, predominantly in the Scandinavian countries. And Group operating income amounted to SEK415 million or [SEK415] (ph) million in the quarter. Terry will, of course, discuss this in detail, but the decrease is mainly related to the lower volumes, but also then partly offset by low single-digit price increase effect and various kind of cost savings that are progressing to plan in our programs. The direct operating cash flow, I already mentioned, improved by SEK1.5 billion in the quarter, up to SEK1.8 billion and this is mainly driven then by the reduction in inventories but also trade receivables. Now, robotics and battery now as a share of our Group sales increased to 21% for the last 12 months and sales of robotic mowers were lower in the quarter due to the comparison numbers versus last year sales. And this was because we had, let's say, a changed seasonal buying pattern of the robotics in '22 where a majority came in the second half versus normally coming in the first half. However, I think it is important to understand and know that the sales in the third quarter was above the average for the same quarter in the past years. So even though there is a volume decline, it is still on a good level. And also, we have had growth in the US. So we have growth in the US for robotics, not only in this quarter but throughout the whole year. And also when we now see that official market share numbers are available, we can see that we have clearly gained market share in robotics and battery products compared with last year. Let us zoom out and look at our performance from a bit of a longer perspective. We are executing on our strategy and our long-term transformation to build a stronger Husqvarna Group. We are growing in our targeted segments where we see higher profitability and future growth prospects. And with the good results in the first half where we normally have the majority of the gardening season, we have increased the absolute rolling 12 months EBIT to over SEK5 billion on a rolling 12-month period, and a small uptick also in the margin 9.3% versus the full year last year on 9%. And our ambition is, of course, to clearly continue this long-term journey in our strategy execution. So having made this overview, I leave it over then to you, Terry, for the detailed numbers.
Terry Burke: Thank you, Pavel. Hello, everybody. So, if we dig a little bit deeper into the divisions. First of all, let's take the Forest & Garden division. And clearly, this is a challenging quarter for the Forest & Garden division where we're seeing the organic sales decline of some 21% and an operating margin of some 4.8% versus 7.2% last year. Just to put into context, the net sales reduction. As you can see on the right-hand side for the quarter, we were at SEK6.1 billion versus SEK7.7 billion, SEK7.8 billion last year. That reduction has a number of factors why that has reduced some SEK1.6 billion. But if we try to break it down just a little bit, I would describe 50% of the reduction being market-driven, weaker consumer demand and 50% being the fact that we have exited some of our lower margin consumer wheeled, which we've communicated. And secondly, the adjustment for the robotics because quarter three 2022 was a backlog catch-up quarter. So when we adjust for that, and we adjust for the exits, that's roughly half of the reason for the sales decline. As we just talked about previously, Pavel has mentioned that previously, it's great to see that battery products has continued to grow and we've seen a significant improvement in our electrification journey and that has continued for the Forest & Garden division here as well in the quarter. We talked about the decline in wheeled products, both as a result of weaker demand and also as a result of the exits, some SEK300 million -- approximately SEK300 million of exits in wheeled impacting Q3. We also talked about the lower robotics, last quarter three 2022 was artificially high because of the backlog catch up and I would say this year is a more normalized quarter three in our robotic sales, but still higher than past year’s average. Operating margin obviously is impacted by the significant volume reduction and we have managed to offset some of that with price increases, and favorable raw material and logistics. I think what is important on this slide is we actually stepped back a little bit from the quarter and we look at the year-to-date. And I think the year-to-date shows a much more positive perspective because we did have a strong first half of the year and then of course, considering Q3, when you look at it from a year-to-date perspective, we have a flat sales, organic sales, but despite that flat sales, we have an improved operating income and our operating income has increased to 12.2% versus 11.7% last year. Moving over to Gardena. Gardena has had continued challenging conditions. The first half of the year was quite challenging for Gardena and that continued with Q3 as well. Organic sales declined by some 8% in Q3, and there is a negative operating margin of some minus 1.8%, which is more or less flat with previous year quarter three. Worth pointing out, Orbit had a lower sales in Q3. Despite that lower sales, they have improved their operating income and their operating income has improved for the quarter, but it's also worth pointing out that their operating income has also improved for the year-to-date as well. I think with Gardena, Gardena have had quite a challenging environment during 2022 and 2023. And I think one thing that comes across pretty clearly with Gardena is they have really driven some very effective cost efficiencies and they've been able to execute on price increases, which have helped support the operating income, both for the quarter and the year-to-date. Actually, from the quarter perspective, if you adjust for the currency, it is an improved operating income for Gardena in the quarter. Stepping out from a year-to-date perspective, organic sales has declined some 11% now, and operating margin at 12% versus 12.3% last year. Construction, I would say, quarter three for Construction is a continued, robust, positive development that has followed on from a strong first half of the year. Yes, organic sales has had a slight decline of some minus 1%. However, what you can see is a quite significant improvement in the operating income, moving from 9% to 10.9%. So really good to see how the operating income is improving. And that's really driven by positive price development and cost savings. When we look at the sales, North America and emerging markets has continued to be strong during Q3. However, Europe for Construction has been weaker during Q3. Looking at the year-to-date nine-month development, organic sales is some negative 2%. However, a 1 percentage point improvement in operating margin, and you can see 12.8% versus 11.8% last year. So, again, another solid performance and results from Construction. Looking at the quarter three EBIT bridge, really, I would describe this, it's really around the volume reductions that we've had during the quarter. We talk about some minus 15% in organic sales, that also includes a small positive price increase. So once you adjust for that as well, we've got significant volume reduction in Q3. And that is really what you see in the red bar, this minus SEK585 million in the quarter. That's really a volume-driven story of why that has impacted our EBIT. On a positive note, our cost savings program continues to deliver. We announced last year -- this time last year, that we have some ambitions to deliver SEK800 million cost saving program with full effect 2025. I would say we're on track with that, and we delivered SEK90 million of cost savings in the quarter. In the quarter, we also seen positive raw material and logistics, some SEK300 million improvement there. That was really driven by logistics. There was a small positive in raw materials as well, but it's really logistics-driven that is improving that result. Transformational initiatives, we have our strategy, we continue to invest in our strategy, and there are some SEK55 million of investments going into to support us with our value creation levers and continue to invest in our strategy in our direction. There was a positive currency effect of some SEK60 million, which takes us to SEK415 million and a 3.9% margin in Q3. We look at the year-to-date EBIT bridge, the price volume bar is much smaller when you look at it from a year-to-date perspective. We do have a negative volume impact year-to-date. We've had quite robust price increases coming through, particularly in the first half of the year, Q3 was much weaker in prices and that's really more of a timing effect of how the price increases were implemented during 2022. So we have a negative volume development and that is really the main explanation why we have a negative SEK260 million on price and volume. As I said earlier, we continue with our cost savings. We are SEK217 million now in the first nine months. So really good to see and we are clearly on track to deliver our cost savings program. Raw material and logistics really heavily driven by logistics as I mentioned previously. We have started to see an improved situation with raw materials now. We didn't see that earlier in the year, but we are starting to see a positive development in raw materials coming through now, which is good. Transformational initiatives, some SEK220 million as we continue to invest as I stated earlier. And now from a year-to-date perspective, a positive SEK70 million really driven by the weak Swedish crown. So year-to-date, we are at 11.5% margin, SEK5.138 billion if you want to call it. So moving from the result, and really more thinking about the future and looking ahead, obviously, we have seen a weaker demand during Q3 and now we will launch an additional cost savings program, and this is really to position the Group for longer-term value creation. So this -- just to be clear, this is an additional cost saving program in addition to the one we talked about previously. We talk about some SEK400 million cost savings -- additional cost savings, and this will unfortunately impact approximately 300 positions. Maybe one thing to point out here on this as well is previously, when we've communicated the cost reduction program, we've then said half of it would be reinvested back through transformational initiatives. For this program, it is purely a cost-out program, so it's SEK400 million of cost out. We, of course, continue with our transformational initiative investments, but that's part of the previous program. This is purely a cost out. So that SEK400 million in addition to the SEK800 million we've previously communicated means we have a SEK1.2 million cost out program with full year effect 2025. Maybe also worth pointing out, the SEK400 million cost savings that we aim to achieve, the majority of those will come in 2024. Moving on to the balance sheet. We continue with a very solid balance sheet and a very solid financial position. I think what we are really pleased to see is how our inventory has developed and reduced during the course of the year. Actually, if you adjust for currency, our inventory has reduced by some SEK2.8 billion since the beginning of the year. And that is something we've been really focused on and we will continue to focus on and we will continue to drive inventory levels down. We had a positive cash flow, which I'll come on to a little bit later, but that positive cash flow has also enabled us to reduce our net debt position by some SEK2.5 billion. And if you actually look at our borrowings, we have reduced our borrowings by SEK3.3 billion. So a really positive cash flow situation, which we're very pleased about, and that is helping also with our net debt position and borrowings. Lower payables is driven because of consequences of driving our inventory levels down. I've already talked a little bit around net debt. Net debt, we have reduced by SEK2.5 billion the start of the year. This is a rolling 12 metric, so we are at 2.1 now and we will continue to drive our cash flow and that of course hopefully has an impact on our net debt position. Moving to cash flow. This is something we are extremely pleased about. In uncertain times, in difficult times, it's very important that we have positive cash flow and here what you can see clearly as there has been a lot of focus through the year to drive our inventory down, and also to drive a positive cash flow. We are now at above SEK6 billion positive cash flow. During the fourth quarter, we will continue to focus and drive inventory levels down, and that should also help us and support us with our cash flow for the rest of the year. With that, Pavel, I pass it back over to you.
Pavel Hajman: Okay. Thank you, Terry and good also to see that we have some highlights here during the quarter three, as you have mentioned, several of them. Now, we do continue, of course, to invest in our strategic value creation areas. This is very important for us. We see that these are driving growth for us. They're also driving profitability. And they're also reinforcing our position as being the market leader in our industry, and they're also helping us to drive the transition into -- the transition from petrol power products and into the electrification, which is very important. And Terry, you have mentioned already a couple of the, so to say, progression that we have done here around professional solutions on the Construction division, which is going well, despite the challenged macroeconomy. We also have pointed on that certain parts of the overall larger watering product assortment that we have around the smart watering is also progressing very well. And I think it is also very important here that we highlight that in accordance with our strategic ambitions and our operational ambitions that we presented some years ago, we are well on track when it comes to doubling our sales of robotic mowers. We are currently on a rolling 12-month basis for robotics on SEK8 billion versus a level of SEK6 billion in the preceding two years. So this is progressing well towards our target to double the sales towards SEK12 billion in 2026. When it comes to the electrified solutions, we have an ambition to reach two-thirds electrified in terms of motorized products. And also here, we have an increase and we are at 41% of our total motorized assortment. And here, we are targeting to come up to a level of two-thirds in 2026. And also, we see that we are increasing the number of connected devices being now at the 4.4 million level. This is predominantly coming from robotic mowers, but also from the smart watering. And it also enables us to, so to say, digitally to reinforce and build out our services around this based on the digital connectivity ability, which is, of course, very good. So I would also like to say a few words then on the, let's say, give a couple of examples of our strategy execution. I think this is good to have a more concrete number. And we did this season -- we did do this season our very important strategic launch for the NERA product, the NERA Automower, which is a boundary wire-free automower for the consumer segment. It has been received extremely well already here in the quarter three. Actually, that stood for around one-third of our robotic sales. And next year, we will actually broaden our portfolio based on the NERA technology and the boundary wireless technology and make this available to even a wider consumer group. And I think it is important to have into account that despite the macroeconomic situation that we have seen now for a longer period, we do sell robots. And why I emphasize that is that they are mainly on the higher price points, which means that actually people who really have chosen to transform themselves from petrol to electric or to go into lawn cutting for the first time, they value the automower concept, which I think is very good. We do have a good growth for the smart watering. I mentioned that. We see a strong demand in the MicroDrips, in the controllers and the sensors, which provide convenience for the consumer, but also, of course, which provides a water conservation aspect. And it is very much valued by the consumers today. When we talk about shifting petrol to battery, we have a lot of examples across the world. This one here from BeNeLux is just one that exemplifies that we closed a big contract with a landscaping company that wanted to shift to 100% battery. And they really appreciated our broad portfolio of professional battery solutions, which can cater for their entire, so to say, focus on their work in the landscaping industry. We also pursue, of course, electrification in the construction industry with three heavy power cutters with one core drill and one dust extractor, which all are based on our high power 94-volt PACE battery system. The Husqvarna Construction division is really, let's say, demonstrating its commitment to offer electric equipment for much more demanding jobs, so to say, within that industry and that it can be powered through electric products. So all of this is, of course, contributing to our strategic focus areas, the growth of those areas, but also how we position ourselves even stronger on the market. So in relation to sustainability and to our Sustainovate targets that we have for 2025, sustainability is a key part of our long-term business strategy. We do make good progress on these targets also. They are within three areas, carbon, circular and people. And on the carbon, we have to date then reduced our CO2 emissions along the whole value chain. This is Scope 1, 2 and 3 by 40%. And we are very pleased to see, of course, that we have exceeded the 2025 target that we have of minus 35%. And this improvement then of 2 percentage points from the last quarter is really attributable to the product mix then that is driven very much then by electrification. On circular, within the quarter, we added two new circular innovations. We are now at 22 and basically well on track to reach our 50 circular innovations. The two that was added relates really to making our sustainable products available for, so to say, agriculture farming in the emerging markets in a very easy way, but it's also relating to Gardena that launched new products using recycled post-consumer plastics also, which I think is very nice that we are driving the sustainability and recycling area. And when it comes to people, we do execute on our target here also to empower customers and employees to be able to make deliberate sustainable choices. We have then, of course, increased our assortment of these sustainable choices and we have reached 1.7 million, let's say, sold products within that definition. And we're really now continuing the journey then to empower 5 million people by 2022. So overall, we are committed to sustainability. It is very important for us. It is a competitive advantage, but it is also something that we are proud about at Husqvarna Group to be able to contribute to the society with. So that leaves us then to come to a summarizing of this report. And we have experienced more challenging conditions as the garden season now has ended. Despite this, we have a very strong cash flow generation in the quarter. As Terry has alluded to, we are navigating in an uncertain market environment now going forward. And we foresee this to continue over a period of time. And really to mitigate this and also to adapt accordingly, we have adjusted our manufacturing for the remainder of the year. And in addition, we are implementing further cost reductions. But also important to say is that we do have significant progress on our strategic value creation areas up until the year-to-date and we are really shifting the company towards a larger share of segments with future growth potential. And also this is supporting then our sustainability targets, as I just showed earlier here. So our focus on strategy execution and building a stronger group remains. With that, thank you all for listening in. I hand over to you, Johan, to start the Q&A session.
Johan Andersson: Thank you very much. And I would like to remind everyone listening in that you can either ask your questions over the telephone or you can enter them in the web interface as well. So let us start with the telephone conference. Operator, do we have any questions over the telephone?
Operator: Yes. The first question comes from the line of Gustav Hageus from SEB. Please go ahead.
Gustav Hageus: Thank you, operator. Good morning, guys. Thanks for taking my question. If I could start, Pavel, you were out this morning in an article with direct stating or quoted that you expect some type of a demand environment to be sustained for another six to nine months. Could you elaborate a bit on sort of what goes into that view and in terms of transparency or sort of what are the factors here that makes you believe that this will be a bit sustainable? And do you see anything in the sell-in or sell-out into Q4 that might be supporting that view?
Pavel Hajman: I think from -- over the -- let's say, mid-term perspective, the six to nine months, if you read about what the macroeconomy forecast looks like, it's maybe not so clear to see that it will lighten up in that period. That is really what I mean by that. We know that we are in a situation with still inflation on a high level. Costs are high. Potentially, there could be some interest rates hike as well. And we have, of course, also the geopolitical uncertainty in the world. Now, exactly how much that will impact consumers going forward is, of course, difficult to say. On the short term outlook, if we talk about quarter four, we have been very clear that the two, so to say, factors that impacted quarter three in terms of sales decline, the exiting of the wheel products as well as the higher comparison numbers for robotics, they will remain also in quarter four. And then I think it is likely to say also that there will be a certain, so to say, reduced demand from customers. We do see that our channel partners are being careful and potentially they might not do the pre-orders on the same level as has been normally earlier. Instead, they might want to empty out a little bit of their inventory going forward. However, for the full year of '24, it's, of course, very difficult to have any view or projection on that.
Gustav Hageus: Sure. No, I appreciate that. And you referenced now that costs are starting to come down for you. I think you have two quarters now, about SEK500 million from logistics and raw mats, and you seem to be facing rather favorable comps in Q4 and Q1 too on that side as you were negatively impacted those quarters. But do you see anything in terms of your own or your competitors' pricing? Do you think that you will be able to maintain these price increases that you've had now during COVID and inflation? Or is that also rolling back a bit from your end?
Pavel Hajman: Well, of course, the situation overall with a more stable supply situation and not the increases in raw material and components and transportation, that will stay where it is. And of course, that doesn't necessarily then force us to raise prices in the way that we did during the past year in order to compensate for that. Of course, the macroeconomy also plays a role in this. I think we are a bit cautious in our outlook for any possible price increases for the coming year. For sure, it's not going to be on the levels that you have seen, let's say, during '22 and beginning of '23. Should there be price increases, they will be on a marginal level.
Gustav Hageus: But the -- your view now is not that you're going to lower prices or competitors are not lowering prices into next year?
Pavel Hajman: No, we don't have that intention right now.
Gustav Hageus: Okay. And then if I can go on to the cost savings program, you expanded now from SEK800 million to SEK1.2 billion. Just to get the numbers right here, is it roughly correct that you already released SEK300 million this year, roughly, and the delta thus into next year will be SEK500 million year-over-year, of which SEK100 million then will be reinvested and SEK400 million net costs out, or how -- what are the numbers here?
Terry Burke: Yes, I think that's directionally on track because, as I said, the SEK400 million additional, we expect the majority to come through during 2024. And our original program, as you say, is on track. And what savings we make, half of it goes back into strategic investments. So you're directionally there or thereabouts.
Gustav Hageus: Okay. And from what you can see now with the wages and everything, how much of this do you think will be eaten out by sort of general inflation? Do you think there will be a net positive impact on your cost levels into next year, year-over-year?
Terry Burke: Yeah. Our ambition is to have a net positive impact on our cost levels. Yes.
Gustav Hageus: Okay. Great. And just to follow up then on the robotic side, you haven't mentioned a number on CEORA units for the year. Could you please update us on where you are there and what your intention or ambition is for next year in terms of growth for CEORA?
Pavel Hajman: Yeah. It's a little bit too early. We normally talk about this number at the year-end. CEORA continues to develop well. The inclusion of the CEORA mower into the whole professional robotic assortment has given the whole segment an uplift for us and we have seen good growth. However, also here, a slower growth coming into quarter three due to the fact that the season is ending. So we will come back with more details on the CEORA sales going forward.
Gustav Hageus: Okay. And last one from me. It seems like the residential market on robotics is increasingly moving to boundary free as well. And I appreciate NERA is your product here, but it's rather high-end in terms of price. Do you -- is it fair to assume that you're going to launch a more affordable product in this space into the next season on the residential side?
Pavel Hajman: Yes, that is our plan. So I mentioned that in one of the previous slides where I said that we are now going to launch a number of products that build on the NERA EPOS platform, the boundary wire platform, at somewhat lower price points than what we are selling the NERA product for. So that's coming in the coming two years.
Gustav Hageus: That's great. Thank you. Those were all my questions. Thank you, guys.
Johan Andersson: Do we have another question from the telephone conference?
Operator: The next question comes from the line of Fredrik Ivarsson with ABG Sundal Collier. Please go ahead.
Fredrik Ivarsson: Thanks so much. Thanks for the presentation, gentlemen. I've got three questions. I'll take them one by one. So first one on the robotics. So you say, volumes were above average levels. So what do you mean exactly? Because I mean, obviously, these products have been growing quite nicely during the last year. So which year should we look at when assessing the sort of average levels?
Pavel Hajman: When we refer to the average level, we refer to '21 and two years back.
Fredrik Ivarsson: Okay. So 2019 to 2021?
Pavel Hajman: Yes.
Fredrik Ivarsson: Excellent. Thanks. And second one on Orbit. So you said it diluted Gardena's margin I think in the report by 1.6 percentage points. How far behind the legacy business is Orbit now in terms of EBIT margin? And when do you think it can get back or get up to the sort of double-digit Gardena levels?
Pavel Hajman: Yeah. I mean -- and I mentioned it and referred to it a little bit on the Gardena slide. I think what is important to refer to here is they have Orbit whilst have -- they have had sales decline during this year. They have significantly improved their operating income. And that's actually been quite an achievement this year. So they deserve some recognition for how they've improved their profitability and operating income. So there's still a journey to go, but we are on track. We will continue to improve the profitability to get it to the division average.
Fredrik Ivarsson: Okay. Fair enough. And last one, you said petrol-powered wheeled products were weak, but I didn't hear you say anything about the professional handheld products. Can you say anything about that sort of development in the quarter, and also maybe what you expect going forward?
Pavel Hajman: Well, what we can say about petrol handheld products in the quarter is that the decline is on a lower level than what we saw for the wheeled products. I don't know if you want to add...
Terry Burke: Okay. No, I think you summarized it well. I mean, predominantly, the weaker demand was on wheeled. There was a decline in handheld as well, but it was the wheeled decline that was driving the sales reduction.
Fredrik Ivarsson: Thanks. That's all from me.
Johan Andersson: Thank you very much. Should we take another question from the telephone conference before we do over the web? Please, operator.
Operator: The next question comes from the line of Bjorn Enarson with Danske Bank. Please go ahead.
Bjorn Enarson: Thank you. A question on the under-absorption effects that we've seen so far this year. I mean you started the year with high inventories here among dealers and retailers. Could you in some way give some indications of how much of a headwind on profitability this has been during the season? Thank you.
Pavel Hajman: I don't think we would share too much from a numbers perspective. But what I would say is it's been a significant absorption cost we've absorbed throughout the whole year because as you say quite rightly, we have driven our inventory levels down throughout the year. We started the season with too high inventory. We were fully aware of that and obviously, we've got on top of that a little bit now, and you're seeing that in the cash flow. So this is not new for quarter three and it won't be new for quarter four either. We have already taken quite some under-absorption in the first nine months, significant under-absorption.
Bjorn Enarson: And given the actions that you are implementing on the cost side and not the least, the fixed cost program that you announced today, and with your indications or thoughts on the demand situation in next year, would you be much more in balance next year, do you believe?
Terry Burke: I mean, first of all, if we to the SEK400 million cost out, I mean that is really going to be driven with an organization consolidation and addressing some fixed costs. Of course, some operational efficiencies as well. But that, of course, will help us and put us in a strong position in addition to the already existing cost reduction program we had. We will continue to drive inventory down during next year as well. That has to be a focus for us. Cash flow is extremely important. So, of course, that's likely to have an impact on absorption during 2024 as well as we drive inventory down.
Bjorn Enarson: Thank you. That's it.
Johan Andersson: Great. So we have a couple of questions here from the web. One is around competition. Have you seen Chinese competition rising in core markets during 2023 with the current trend towards deglobalization, or how do you see the competition there?
Pavel Hajman: Well, there is always competition, no doubt about that. I wouldn't say that we have seen any dramatic changes in the competitive areas in general. Maybe more specifically, we see that the number of entrants are trying to break into the robotics market. However, we see that so far, it's a lot of marketing and maybe not that much reality behind that. But, of course, over time within this segment, it's inevitable that the competition will strengthen and a number of those competitors will come from emerging markets. Yes.
Terry Burke: I think, Pavel, if I may just add to that. And you mentioned it earlier we should not forget we have gained market share in robotics during this year. So once the competition is there and we're very respectful of it, our market share has improved. So we should hold on to that.
Johan Andersson: Great. Great. Another question, how do you see top-line if you take a more, a little bit longer-term perspective, three, five years, what kind of growth level can we talk about, and what is the growth coming from? And another one on the same topic is so -- and then if you go back to 2024, what do you see on growth there? Can it be positive or what's your expectation?
Terry Burke: I think the way I would summarize that is really around our organic growth target of 5%. That still holds. We still stand by our long-term financial goals and one of those financial goals is a 5% organic sales growth. We still stand by that. In our four key strategic value creation areas, we believe there will continue to be growth. I think we have to be, obviously, aware of the macroeconomic situation in 2024 might not develop in that direction because it's a very difficult environment and consumers are squeezed, et cetera. Zooming out longer term, we hold by our 5% organic growth.
Johan Andersson: Good. Thank you. Operator, do we have any further questions over the telephone conference?
Operator: The next question comes from the line of Johan Eliason with Kepler Cheuvreux. Please go ahead.
Johan Eliason: Yeah. Hi. This is Johan. Thanks for taking my questions. Just a few follow-ups here basically. So this new SEK400 million cost-cutting, I haven't seen anything about related charges.
Pavel Hajman: Yes. You haven't seen anything. You're correct. There is nothing in the report. We are currently working through what does that mean. And during Q4, we will come to some financial numbers that we will share during the Q4 report and year-end report. So it's work in progress. We're figuring it out and we'll come back in Q4.
Johan Eliason: Okay. Thank you. Then on the sort of weaker demand outlook, I can obviously understand that from the macro picture and the weak ending of the season, keeping retailers sort of bit cautious on building inventories ahead of the season. But how about listings? Obviously, I mean walking away from SEK2 billion in petrol-powered products will impact your listing. So I think, for example, Toro has gained with Lowe's. But apart from that sort of situation, would you say your listings is stable, improving or deteriorating?
Pavel Hajman: No. When it comes to the listings in US, where mainly this is -- expression is being used, we are on a stable level on where we were. It's about Orbit and their watering assortment and then, of course, we also have a large handheld assortment with one of the larger retailers as well. So I would say that our listings are on a similar level, maybe, maybe slightly down, but so far no changes. Of course, with the exception of the business that we are exiting, which we have talked about earlier.
Johan Eliason: Okay. Good. And then finally on robotics, you mentioned growth in the US for robotics. Have you introduced the Gardena brand yet for robotics in the US? Or is this for 2024 season or 2025?
Pavel Hajman: The Gardena brand already exist with the robotics in the US, mainly through the e-com sales. However, we are looking into how to position the whole Gardena brand with the relevant products, robotics, but also watering now, building so to say on the base that we have established with the help of Orbit and of course, also, to align, this will be ongoing robotics launch or establishment that we actually have in the US for Forest & Garden division.
Johan Eliason: And will there be any significant impact sort of Gardena Orbit development in the following season already or is it still further out?
Pavel Hajman: Well, when it comes to robotics, I would like to be a bit cautious. We have seen that it takes some time to really get the transition done in the US from petrol mowers, walk behind, ride-on over into the robotics for the understanding of the concept. It's very much driven by our establishment in the professional segment, which goes well, but it takes time to transform a whole, let's say, segment of the industry. As for Gardena and the watering products, those have already been -- part of it have already been launched with a good success in this year and we actually have larger, such as to say, plans and possible listings that we are discussing on also for next year for Gardena. So that, may I say, expansion is on its way.
Johan Eliason: Okay. Excellent. Many thanks.
Johan Andersson: Excellent. Thank you very much. I think we have a next question.
Operator: The next question comes from the line of Karri Rinta with SHB. Please go ahead.
Karri Rinta: Yes. Thank you very much. I would like to circle back to cost savings. And firstly, this new SEK400 million announced today, since it only involves SEK300 million redundancies, so there is more something else that is driving these savings. And I think Terry alluded to this in passing but can you be a bit more specific what these other sources of cost savings will be? That's my first question.
Terry Burke: What I would say, of course, we can't be too specific. It's too early as well to be specific because, of course, we have to respect our organization what does that mean for the organization. So I don't want to be too specific, but what I would say is really around the fixed costs. So we talk about 300 positions, but then there is also other fixed costs that this company carries and we are looking to reduce some of that fixed cost base, which I think is important, particularly when we have a very uncertain market.
Karri Rinta: All right. Thank you. And then the program announced last year and you have given us the savings achieved so far this year. So it seems that you're on track to reduce costs by some SEK360 million, SEK370 million on a full year basis or should we -- for this specific program, should we expect something similar for next year or slowdown acceleration or how should we look into 2024?
Terry Burke: So just to correct you, I think you said, if I heard correctly, you said SEK370 million, it's actually SEK270 million. So just to be aware, it's around SEK270 million.
Karri Rinta: I mean by the year end. I mean by the year end.
Terry Burke: By the year end, okay. Okay. Right. It will probably be slightly below SEK370 million by the year end because of course, Q4 again is a smaller quarter in many respects. Our ambition with the original cost-out program was to have SEK500 million of savings of the SEK800 million that we said would have full year effect by 2025, we would have SEK500 million of that SEK800 million by the end of 2024. So have that in mind, we are on track with that. We are doing well. So that's kind of where we're at.
Karri Rinta: Okay. So an incremental SEK150 million next year. And then the savings from this new program. Okay. And then the transformational initiatives, these investments into the growth areas, that number was quite a bit lower now for the fourth quarter. Is there some sort of back-end loaded profile for these initiatives that you would expect fourth quarter investments to be higher? And how much discretion you have there? So let's say that next year turns out to be more uncertain, weaker than you expect. So how much can you dial back on these investments for 2024 if the market turns out to be weaker than expected?
Terry Burke: I mean, of course, we have to be cautious. We have to be cautious and very aware of the macroeconomic situation and how things develop and evolve. Having said that, so long as our cost-saving program continues to deliver to plan, we, of course, want to continue to invest in our strategic transformation. I think it's very important that we continue to invest. So, again, when we communicated this last year, we talked about an SEK800 million cost saving, of which SEK400 million would get reinvested back in transformational initiatives. That will remain. We continue on track with that. But of course, we will be cautious, we will be very mindful of market conditions as well.
Karri Rinta: All right. And just finally, a clarification on that SEK400 million investment because when I read that press release from last year, it -- I can interpret [very much] (ph) that you will invest SEK400 million more in 2023 and then you will increase those investments by SEK400 million more in the years thereafter until 2025. Was that a correct interpretation or is it just that there was a sort of a one-time bump of SEK400 million in initial investments?
Terry Burke: No, it was a correct assessment. The SEK400 million was an addition because we were going to deliver -- we are going to deliver SEK800 million more in savings and then we said we would increase our investments by this SEK400 million using the baseline up to 2025 full year effect. So if you look at it like this, if we say we have planned some SEK500 million of cost savings in 2024 versus the original baseline, half of that would be reinvested. So SEK250 million would be of that SEK500 million saving would be reinvested.
Karri Rinta: All right. So -- and that was the initial plan and now you have this additional SEK400 million in savings, which is pure cost out.
Terry Burke: Pure cost out, yes. Pure cost out.
Karri Rinta: Yes. All right. Thank you very much. That helps a lot.
Johan Andersson: Thank you very much, Karri. And we have another question here on the web from [indiscernible]. I might have missed it, but have you commented anything about your impression of stock leverage at dealers and retailers in Europe and North America? Are these aligned, or are they a bit too high given the market -- current market outlook?
Pavel Hajman: Okay. Of course, this differs between the divisions and between the geographical regions also. If we start with Forest & Garden, we can say that the dealer channel in Europe is slightly overstocked or slightly more stocked than what is normal at this point of time. When it comes to the US, the situation is more on a normalized stock level, I would say. And then when we talk about Gardena, I would say that the channel in Europe is a little bit lower than what is maybe in average. And then you have to keep in mind, of course, that they have been destocking for a long period of time starting already mid '22 destocking and then being very, let's say, flat or cautious, whereas on the American market, we see maybe that there is a little bit more inventory in the trade than what would be normal for this period of the year. And then when it comes to construction, it very much reflects how the business and the sales is going, meaning that in Europe, the stock level is a little bit under normal, whereas -- sorry, a little bit above normal, whereas in the US, the stock is on a normalized level, given that the business is going quite good.
Johan Andersson: Good. Let's see, operator, do we have a final question maybe over the telephone conference?
Operator: The next question comes from the line of Adela Dashian with Jefferies. Please go ahead.
Adela Dashian: Hi guys. Thank you for taking my questions, most of which have already been answered, but if we go back to the discussion on inventories and how that has progressed year-to-date, do you feel like the current market conditions, and I do appreciate the comments about you adjusting your manufacturing levels for the remainder of the year, but do you feel like the current market conditions is going to impact your efforts to bring inventories back to more normal levels from here on out?
Terry Burke: I mean, of course, a weaker demand, if it plays out that there is a weaker demand in the quarters ahead, then, of course, that does impact our inventory in that sense. However, we've been very clear, we will reduce our manufacturing. And in addition to that, we've also been very focused to drive down our inventory. Inventory reduction and cash flow is extremely important to us and we will continue to work and drive that down. And obviously, we have to see how the consumer demand impacts that, but that is a focus area to continue to reduce and improve our cash flow.
Adela Dashian: Okay. Thank you for that. And then maybe also on margins, you know, I do understand that the lower volumes are probably going to continue to have an effect on how the margins play out in Q4 and probably also in 2024, but -- and at the same time, we shouldn't expect the same type of price increases that we've seen over the year and a half. So do you feel like with exception of the cost savings program, is there a additional risk to your margin levels from here on out? And then how do you proactively work with that in the current market environment?
Terry Burke: A couple of things I would answer to that. I mean, first of all, we did talk about some positive raw material developments of late and we would expect to see some of that come through during next year. At the same time, also, we will drive with our suppliers, so cost efficiencies as well, so that we have to be mindful of that as well. In addition to that, perhaps, mix. We hope there are certain value creation segments that we will grow next year. Let's see how that plays out. But that would also be favorable in the margins. So, yes, there is definitely an under-absorption side to it, but there are also potentially some upsides.
Adela Dashian: And these investments in the value creation areas, you don't -- despite weaker volumes or lower demand, you don't expect those investments to be halted or delayed by any means at this point in time?
Pavel Hajman: Just as you alluded to Terry, when we had a similar question earlier here, we, of course, need to adapt them to the current situation and how we believe things are going forward, but overall, these are prioritized areas and we will continue to invest in those areas. The exact levels, as I said, remains to be defined, you know, depending on the situation.
Adela Dashian: Excellent. That's all from me. Thank you very much.
Johan Andersson: Okay. Thank you very much. We are just about to be -- that the clock is turning 11. And with that, we would like to thanks everyone for listening in today. I think next week, we will present at Handelsbanken on the 24th of October, so you can come and listen to us there, and then we will be in London on the 8th of November as well. So I think with that, if you have any further questions, just contact us on the Investor Relations team today, of course, as well. But with that, we would like to thank you very much for listening both online and over the telephone conference, and have a nice day. Thank you.
Operator: Ladies and gentlemen, the conference is now over. Thank you for choosing [conference call] (ph), and thank you for participating in the conference. You may now disconnect your lines. Goodbye.